Operator: Good morning. My name is Alison and I will be your conference facilitator today. At this time, I would like to welcome everyone to the American Axle & Manufacturing First Quarter 2019 Earnings Conference Call. All the lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Mr. Jason Parsons, Director of Investor Relations. Please go ahead, Mr. Parsons.
Jason Parsons: Thank you, Alison, and good morning. I would like to welcome everyone who is joining us on the AAM's first quarter earnings Call. Earlier this morning, we released our first quarter of 2019 earnings announcement. You can access this announcement on the Investor Relations page of our website, www.aam.com, and through the PR Newswire services. You can also find supplemental slides of this conference call on the Investor page of our website as well. To listen to a replay of this call, you can dial 1-877-344-7529. Reservation number 10130211. This replay will be available beginning at 1:00 p.m. today through 11:59 p.m. Eastern Time, May 10. Before we begin, I would like to remind everyone that the matters discussed in this call may contain comments and forward-looking statements subject to risks and uncertainties, which cannot be predicted or quantified, and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also, during this call, we will refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures, as well a reconciliation of these non-GAAP measures to GAAP financial information is available on our website. Over the next couple of months, we expect to participate in the following conferences, the 2019 KeyBanc Capital Markets' Industrial, Automotive & Transportation Conference on May 30, Barclays' High Yield Bond and Syndicated Loan Conference on June 6 and the JP Morgan European Automotive Conference in June 11. In addition, we are always happy to host investors in any of our facilities. Please feel free to contact me to schedule visits. With that, let me turn things over to AAM's Chairman and CEO, David Dauch.
David Dauch: Thank you, Jason and good morning to everyone. Thank you for joining us today to discuss AAM's financial results for the first quarter of 2019. Joining me on the call today are Mike Simonte, AAM's President; and Chris May, AAM's Vice President and Chief Financial Officer. To begin my comments today, I'll review the highlights of our first quarter 2019 financial performance. Next, I'll comment on the performance and AAM's business units, the progress of our performance improvement plans and status on our critical launches. Lastly, I'll cover our 2019 financial outlook before turning things over to Chris. After Chris covers the details of our financial results, we will open up the call for any questions that you may have. Our first quarter financial performance reflects customer downtime due to program changeovers for our two largest programs and lower year-over-year light vehicle production volumes in our key markets of North America, Europe, and China. Our results also reflect the sequential performance improvements of our launch and operational efficiencies that we experienced in the second half of 2018. AAM sales for the first quarter of 2019 were $1.7 2 billion compared to $1.8 6 billion in the first quarter of 2018. The decrease in our revenues on the year-over-year basis reflect lower global production volumes, including the impact of customer downtime at the GM SUV and Ram heavy duty truck plants related to program changeovers. We were also impacted by slower than expected customer launch ramp curves for the Ram heavy duty program and certain transmission and engine component launches. The impact of these decreases were partially offset by the realization of our new business backlog. AAM's adjusted EBITDA in the first quarter of 2019 was $245 million or 14.3% of sales. This is compared to our $317 million in the first quarter of 2018 or 17.1% of sales. AAM's adjusted EPS in the first quarter of 2019 was $0.36 per share compared to $0.98 per share in the first quarter of 2018. Our profitability on a year-over-year basis was impacted by lower sales and higher manufacturing and launch costs. Chris will provide additional information regarding the details of our financial results in a few minutes. Let me now provide an update on our segment financial results including a progress update on our performance improvement plan. One thing to quickly note before I get into the details is that we announced the business reorganization at the beginning of the year that reduced our business units from four to three and reallocated facilities from our Powertrain business unit to either our Driveline or Metal Forming business units. As a result, we have reported our financials in 2019 for the three remaining business units and have recast our 2018 segment financials to provide comparable data. As it relates to our update of the performance improvement plan, we continue to show our progress on the legacy business unit structure to ensure consistency of our disclosures from period to period. With all that being said, let's dive into our largest business unit. The Driveline business unit recorded sales of $1.1 3 billion in the first quarter of 2019 and generated adjusted EBITDA of $137.2 million. Year-over-year Driveline profit margins were down due to lower sales, higher launch costs and higher manufacturing costs due to inflationary pressures on such items as material price and tariffs. You remember that one major issue that caused us to incur additional premium beginning in the third quarter 2018 was a changeover between the old 2018 Ram heavy duty model and the new 2019 Ram heavy duty model. As we mentioned in our last call, that changeover was complete for us at the end of 2018. FCA took the required downtime at Salteo [ph] plant in January to complete their changeover to 2019. We're now building only next generation Ram heavy duty pickup trucks and we have properly executed this launch here in 2019. We're no longer incurring significant premium costs related to this launch and they're only experiencing the typical launch project expense but are normally associated with such a major program. However, the Ramp curve to the full run rate for the 2019 Ram HD program has been longer than we expected and we are still not running at the full rate that we would have expected at this point in time. We expect the FCA to resolve this issue in a very near term, but this slower ramp has had some impact on our 2019 sales versus our initial expectations. Before we move on to further performance improvement updates, I'd like to take this time to reaffirm that our GM next generation, full-size truck and SUV launches are on track and we are meeting the high loss performance expectations of both ourselves and our customer. We have worked extremely well with GM and these launches had been flawless and anonymous to date. We are currently laser-focus on the upcoming heavy-duty launch. On the supplier side of the business, we have resolved nearly all the issues that previously impacting us. We have one current issue that is continuing to cause excessive premium costs in order to meet our customer's requirements. This open issue relates to an aluminum casting supplier for our e-Drive units that we continue to work on in order to meet our quality and on-time delivery requirements. While we continue to make progress, we see that tissue carrying into the second quarter of 2019. While this issue has lingered longer than we expected to, we are meeting our customer requirements and we'll get this issue completely behind us soon. Final item related to Driveline that I'd like to discuss is that as part of the business reorganization in January, the Bluffton manufacturing facility is now part of the Driveline business unit. This was one of the two legacy MPG plants that we specifically called out in the third quarter of 2018 for the poor [ph] launch performance. The first quarter of 2019, we experienced lower premium freight, premium labor and scrap class and saw increased efficiency at this facility. While Bluffton is still not running at its full potential, we have seen meaningful improvement and we are on track by the end of the second quarter of 2019 to further improve this performance. On the Metal Forming business unit, which continue their strong operating performance, Metal Forming recorded sales of $483.3 million and segment adjusted EBITDA of $85.3 million in the first quarter of 2019 running at 17.7% adjusted EBITDA margins. As part of the reorganization of the business, the Metal Forming business unit has assumed responsibility for the Twinsburg manufacturing facility which has stabilized its operation and is also on target to meet these performance improvement goals by the end of the second quarter. The Casting business unit recorded sales at $225.3 million and segment adjusted EBITDA of $22.5 million; this represents a sequential increase in margin performance of over 500 basis points from 4.9% in the fourth quarter of 2018 to 10% the first quarter of 2019. The first quarter of 2019 we realized the benefits of our efforts and actions that we have taken to address the labor shortage issues in our U.S. boundaries. As a result, we have stabilized our operations, improved operational efficiencies, lowered our premium labor costs as well as improved our scrap performance. Last year nearly all of our U.S. plants were suffering from this labor shortage. We're now down to one facility that's still has some work left to do and this is in front of them. We also improved our Casting business unit finance performance to increase pricing for certain commercial and industrial customers to offset the impact of higher cost and inflationary pressures. We have successfully restored EBITDA margins in this business unit to double digits and we'll work towards continued improved performance throughout the year. Before I turn it over to Chris, let me provide some quick comments on AAM's 2019 full-year financial outlook. Our previously stated 2019 full-year targets remain unchanged. However, as a result of slower than expected customer launch curves and lower than anticipated production volumes for certain programs, we currently project that we're trending towards the low end of our range. As reminder, AAM is targeting full-year sales in the range of $7.3 billion to $7.4 billion in 2019, for the full-year 2019 AAM is targeting adjusted EBITDA between $1.2 billion and $1.2 5 billion and then AAM is targeting adjusted free cash flow in the range of $350 million to 400 million. To wrap things up, AAM continues to improve operation performance in the first quarter of 2019 while supporting our customers in several important program watches, we're off to a good start in '19 as we make it through another busy year for the company. We expect to launch over 50 programs this year and 70% of them are scheduled to be completed by the end of June or the end of the first half of the year. This activity along with the expected strong production of the GM and FCA full-size trucks that we support, sets us up for a very strong second half of 2019. We look forward to building momentum throughout the year and achieving our launch and operational performance objectives while enhancing our profitability of free cash flow generation. That is all from my prepared remarks today. I thank everyone for your attention and appreciate your continued interest in AAM. Let me now turn the call over to our Vice President, Chief Financial Officer, Chris May. Chris.
Christopher May: Thank you, David and good morning everyone. I will cover the financial details of our first quarter of 2019 results with you today. I will also refer to the earnings slide deck as part of my prepared comments. Let's go ahead and get started with sales. In the first quarter of 2019 AAM sales were $1.7 2 billion compared to $1.8 6 billion in the first quarter of 2018. Slide 7, shows a walk down of first quarter of 2018 sales to first quarter of 2019 sales. The year-over-year decrease relates mainly to the impact of the transition to the next generation GM full-sized truck platform as well as lower production volumes related to customer downtime at General Motors SUV and FCA's Ram heavy duty pickup truck assembly plants as part of their model changeover process. Together, these two programs, representative reduction of $146 million in revenue on a year-over-year basis. Our new business backlog more than our normal attrition and other volume and mix factors for existing programs. The impact of our backlog, net of attrition is weighted towards the second half of 2019 with about 60% of it projected to be realized during that timeframe. Sales also decreased by $8 million for normal annual price downs and $12 billion for net metal market and foreign currency impacts. We expect that we'll see a similar decrease in year-over-year revenues in the second quarter when compared to 2018 but then we expect this trend to reverse as we get through the planned customer downtime in the first half of 2019 and in particular reach the one-year anniversary of the new GM pickup truck launch. Now let's move on to profitability. Gross profit was $222.2 million or 12.9% of sales in the first quarter of 2019. Adjusted EBITDA was $245 million in the first quarter of 2019 or 14.3% of sales as compared to $317 million in the first quarter of 2018. You can see a year-over-year walk down of adjusted EBITDA on Slide 8. Lower volume and mix impacted EBITDA by $44 million as we saw lower sales on some of our higher contribution margin programs within the quarter. We were also impacted by normal price downs for the year. On a year-over-year basis, we were impacted by inflationary pressures on manufacturing costs as compared to a year ago. On a year-over-year basis, we experienced $9 million in cost increases related to material freight and terrorists. The good news here is these pressures seems to have leveled out and we believe that these factors will begin to subside and the second half of the year, especially when compared to 2018. On a year-over-year basis, we also experienced higher launch in project related costs in the first quarter of 2019 of about $10 million. We've made progress in this area since the third quarter of 2018 and we expect to see continued improvement in our launch and project performance as we go throughout the year, not only as a result of improvements in our lodge performance, but also reduction in the amount of launches that we will face in the second half of the year. We also continued to experience run rate inflation on cost such as laborers and utilities as compared to the first quarter of 2018. This also impacted us by $10 million on a year-over-year basis. We have begun a series of actions that will help mitigate and reduce these inflationary pressures and we should see positive trending results as the year progresses. We continue to see the benefit of our integration activities as cost reduction synergies and the benefits of our business unit consolidation that we implemented in January improved our performance by $10 million in the quarter. As far as there's sequential comparison of our EBITDA from the fourth quarter of 2018 to the first quarter of 2019, we were in line with the expectations we provided on the last earnings call. You can see this detail on Slide 9. The EBITDA impact due to volume mix and pricing was in the lower half of our expected range. This was driven by sales that were also below the midpoint of our expected range. Metal market and foreign currency was unfavorable by $3 million. Normal anticipated project expenses were $6 million higher than last quarter, but came in better than expected as the timing for some of these expenses moved into the second quarter as we realize $12 million of synergy launch and operational improvements when compared to the fourth quarter. All in all, from an operating profit performance, the first quarter of 2019 met our expectations and gives us a foundation to build on throughout the rest of the year. As it relates to restructuring and acquisition related costs, in the first quarter of 2019 we incurred $12.1 million of restructuring and acquisition related costs. Let me now cover SG&A, interest and taxes. SG&A expense including R&D in the first quarter of 2019 was $90.7 million or 5.3% of sales. This compares to $97.3 million in the first quarter of 2018 or 5.2% of sales. AAM's R&D spending in the first quarter of 2019 was $34.3 million compared to $38.5 million in the first quarter of 2018. We continue to manage our R&D expenditures and are benefiting from a focused effort and process efficiencies in this area. Even with the cost benefits, we believe we continue to make the necessary investments to support our future business growth opportunities at this time. Net interest expense was $52.7 million in the first quarter of 2019 and 2018. The favorable impact of lower overall debt balances were offset by higher interest rates on our variable debt and more capitalized interest. In the first quarter of 2019 we recorded a tax benefit of $3 million as compared to an income tax expense of $17.9 million in the first quarter of 2018. The net benefit in the first quarter of 2019 includes a $9.3 million tax reduction that related to the finalization of regulations for the transition tax we initially recorded at the end of 2017 when the Tax Cuts & Jobs Act was passed. This one-time benefit has been excluded from our calculation of adjusted EPS. When you adjust for this benefit and restructuring the integration charges for the quarter, our overall effective tax rate is right around 17.5%. Taking all of these sales and cost drivers into account, GAAP net income was $41.6 million or $0.36 per share in the first quarter of 2019 compared to $89.4 million or $78 per share in the first quarter of 2018. Adjusted EPS for the first quarter of 2019 was $0.36 per share compared to $0.98 per share in the first quarter of 2018. Let's now move on to cash flow and the balance sheet. We define free cash flow to be net cash provided by operating activities, less capital expenditures, net of proceeds from the sale of property, plant and equipment. AAM defines adjusted free cash flow to be free cash flow excluding the impact of cash payments for restructuring and acquisition related costs. Net cash used in operating activities for the first quarter of 2019 was $80.2 million. Capital expenditures, net proceeds from the sale of property, plant and equipment for the first quarter of 2019 it was $124 million. Cash payments for restructuring and acquisition related activity for the first quarter of 2018 were $15.6 million. We continue to expect restructuring and acquisition related payments to be between $50 million to $60 million for the full year of 2019. Reflecting the impact of this activity, AAM had a seasonal use of adjusted free cash flow of $189 million in the first quarter of 2019. It is common for us to have a free cash outflow and the first quarter of the year as working capital typically is a significant use is we are increasing production inventory and accounts receivable off a year-end holiday shutdowns. In addition to lower year-over-year EBITDA, this year use was a larger due to the timing of customer receipts, supplier payments and rebuildable twin collections for edited relate to launch programs. From a debt leverage perspective, we ended the quarter with a net debt for LTM adjusted EBITDA or net leverage ratio of 3.2 times at the end of March. This calculation takes our total debt minus our available cash balances divided by the last 12 months of adjusted EBITDA. This ratio has increased since the end of the year due to year-over-year decrease in first quarter EBITDA as well as the seasonal cash outflow. But this was expected and it has no impact on our confidence to get to our target of approximately two times net debt leverage by the end of 2020. You'll most likely see a similar LTM EBITDA impact in the second quarter of 2019 and then this train will reverse in subsequent periods due to cash flow generation and increases in LTM EBITDA amounts. We also announced in our earnings release today that we are prepaying the final $100 million remaining of our seven 75 notes which speaks to the confidence we have in our cash flow for the remainder of the year and our continued capital allocation of debt reduction. We now do not have any significant debt maturities until 2022 and beyond. As it relates to liquidity, AAM has over $1.2 billion of liquidity as of March 31, 2019 consisting of available cash and borrowing capacity on AAM's global credit facilities. As we provided the last two quarters and while we work our way through this dynamic time of heavy launch activity, business unit consolidation, and an operational improvement, we believe a near-term view of our expected financial performance is helpful to our investors. Therefore, we have also included a walk to show how we expect adjusted EBITDA to grow from the first quarter of 2019 to the second quarter of 2019. While we anticipate several weeks of downtime related to the GM, General Motors heavy duty pickup truck, we do expect revenues to increase to the range of $1.75 billion to $1.8 billion. This additional revenue will have a positive impact on adjusted EBITDA. We also expect another $10 million to $20 million in synergy, launch and operational improvements quarter over quarter. Contemplating these factors, we are targeting margin improvement with adjusted EBITDA to be in the range of $270 million to $280 million for the second quarter of 2019. At this time, we expect AAM's second half sale to be stronger with our customer's downtime behind us and our new business backlog reaching run rates. Before we move onto the Q&A, let me end with a few closing comments. David noted that our current forecast says it's trending to the low end of our 2019 financial targets due to some slower than anticipated launch curse and wider production than unexpected for certain programs across the globe. We also had a couple items that have taken us a little longer to fully resolve than we originally planned. By in large though, we are on track to achieve our performance, improvement plans and look forward to increasing revenue profitability and free cash flow through the rest of the year. Thank you for your time and participation on the call today. I'm going to stop here and turn the call back over to Jason.
Jason Parsons: Thank you, David and Chris. We will now turn it over to Q&A. Please limit all questions and no more than two.
Operator: The next question will come from Brian Johnson of Barclays, please go ahead.
Brian Johnson: Good morning. I want to talk a little bit about 2Q as 1Q was pretty much in line. There's just frankly a significant shortfall versus consensus estimates. Is there any way you could dimension how much of that is due to perhaps lower than either we or you anticipated production volumes on the two big HD platforms you're on ram and D1K direct X to -- versus the cost issue in E-drive versus other pressures like launch costs and so forth.
Christopher May: Yes certainly Brian, this is Chris. You know, versus consensus obviously, you can see the main delta from an EBITDA perspective relates to buying in terms of revenues from that category. Obviously, the -- some of the ram curves that we talked about previously, a little slower than anticipated. a little weaker on some of our broader base of products from our metal form group as well as in some of our China all-wheel drive take rates. I would qualify those as the majority of the impact in terms of revenue changes. The gentle motor's heavy duty truck program was certainly has been long planned and not new.
Brian Johnson: And then, the…
Christopher May: The delta between that -- contribution margin of course, you have a little bit associated with the E-drive item that you mentioned.
Brian Johnson: And secondly, is -- we kind of go through other launches are you pretty much finished with the major ones by this summer or are there risks in either large volumes or planned volumes or launch costs when we get out into 2H?
David Dauch: We've got over 50 launches this year of which 70% of those launch on the first half of the year. So we're extremely busy right now with most of the big launches being here in the first half of the year. However, we do have some larger launches in the second half of the year as well. so but we do expect a lot of our launch related costs of project expenses to be coming down the second half your compared to the way it occurred the first half.
Brian Johnson: And then final question; as you've gone through the metal dine facilities, we've kind of highlighted your progress in fixing some of the things and dry and the 3 business units in those 2 plants but is there anything else you find covered that's required remedial action to bring a plant or program up to actual standards?
Christopher May: Nothing out of the ordinary. So we've already highlighted the 2 plants that would become issues to us back to the third quarter of 2018 that the employer to making meaningful progress on improving that facility and then the Twinsburg facility has stabilized. We don't see anything beyond those 2 additional facilities.
Brian Johnson: Have you gone through the -- have you sat down with plant management and gone through the upcoming launch programs; the staffing, the machinery they have in place, their supply chains to get comfortable that they're prepared.
Christopher May: If we've got very extensive reviews to pass the management at each of the facilities and we're also re-review on our supplier's status capability.
Operator: The next question will come from Armintas Sinkevicius from Morgan Stanley. Please go ahead.
Armintas Sinkevicius: Just trying to bridge a couple things here; the $190 million of free cash flow burn in the first quarter that implies $550 million roughly in the remaining 3 quarters to get to $350 million. You know can you walk me through what you know gets us there, you know because if I look at the adjusted EBITDA the guide implies, you know $955 million for the rest of the year CapEx $390. You know cash interest maybe $200. So I get to -- you know $350 million before I even take into account cash taxes. So you know that it just be helpful to get to the bridge to the free cash flow there.
Christopher May: Look your common sketch about halfway there. If you take sort of the main drivers EBITDA, CapEx, interest in taxes based on our -- you know previously stated guidance associated with those topics. You know over $300 million of cash flow in those areas. The other element is especially critical to understand really is too and it relates to working capital. We consume just on our receivables alone over two hundred million dollars of working capital in the first quarter. That typically flips in the fourth quarter so for example in the fourth quarter of last year you saw hold over $300 million benefit associated with just the receivables. So the working capital element will flip as the course of the year concludes and the other element of working capital that will also Reaches to our goals is inventory reductions .last year we grew our inventories well above our year-end 2017 levels. Because we were preparing for launches and getting ready to sequence those through the course of the year. You know we increase those you know $50- $60- $70 million. Our objective of course is to reduce inventories in a meaningful way throughout the course this year that would be the other leg of that achievement.
Armintas Sinkevicius: Okay, that's helpful.
Christopher May: Together that it gets you pretty close to where you need to be.
Armintas Sinkevicius: And then, adjusted EBITDA were down calling $5 million versus the guide you put out in the first quarter. So you know appreciate the ram coming in slower and some of the issues with the casting supplier for the E-Drive but that's down %5 million though the full your guide, you know moving to the low end is down $25 million. so you know is that just -- you know those factors carrying into the rest of the year or you know anything else there that bridges us you know from the down $5 million in the first quarter -- the down$25 million for the year.
Christopher May: If you think about the midpoint of our consensus runs our guidance was previously $7.35 million of revenue, $1.225 million of EBITDA and now we have now guided you to the low end of our ranges previously. So we're more than half of that would be certainly the contribution margin associated with the revenue drop. The E-Drive will get a piece of that. some of these slower launches you know in terms of the came out of the first quarter second quarter a little slower .you get a little bit of capacity utilization and efficiency on that a little bit and to be Frank, FX and metal market moved a little bit as well. I mean, you put those because we get you near the low end of the range.
Armintas Sinkevicius: Okay, apologies. I'm going to break Jason's rule here for just one more question. At the free cash flow guide, the 15 for the three year guide, does that still remain intact then?
Christopher May: Yes, it was four year, it was 2017 to 2021.
Operator: The next question will come from James Picariello of KeyBanc Capital Markets. Please go ahead.
James Picariello: Can you talk about you know which row of castings noble margin improvement to that 10% level? I know you mentioned you know pricing and an operating efficiencies but just curious what you know your expectations are for the remainder of the year and how well you expecting that pricing to stick. If I assume some volume recovery within the segment-- the back half you know feeling on pricing with some decent operating leverage. Could we see profitability return to you know 2Q of last year at that 11%t mark? Just curious.
David Dauch: Clearly the biggest thing for us in regards to improvements in the casting business was addressing the manpower shortage issue that we were dealing with as we indicated we would address the majority almost all the facilities with the exception of one. Once we get that, that helped us stabilize our operation, drove efficiency in our business as well as scrapping prudence. So a lot of it was the operational but again, driven back to having the appropriate manpower available and the appropriate operating patterns put in place to find that facility efficiently. I think, clearly as you commented, we did benefit from the other price adjustments that were put into place on the additional on the commercial side of the business. Those prices will stick and that was to address some of the inflationary costs and higher costs being incurred on the manpower side of things. And you know so we're happy to get it back to double digit performance and we expect to improve that as the year progresses.
James Picariello: Can you talk about you know what you're baking in at a high level for ram volumes in the back half. Obviously looks like you know large fines are a little slower than you had originally anticipated. You just wondering when you know you think that -- you know that that program might hit your run rate volumes and you know would you consider that program to be the primary driver of your guide down. Thanks.
Christopher May: That was certainly a piece of the guide down in terms of the lower end of the revenue range. There were some other elements associated with some of our revenues in China and elsewhere. But as it relates to run rate volumes on ram, we're expecting them to work through here the second quarter to get up the full rate pretty quickly. I mean it's product and demand. And that's consistent with what they articulated in their public commentary as well.
Operator: The next question will come from Joseph Spak of RBC Capital Markets.
Joseph Spak: As I just want to dive a little bit more into sort of this the second half you know inflection in EBITDA and maybe we can sort of focus on the performance improvements. I think previously, you indicated that that was going to sort of help by, I think $35 million for the year. It was obviously down $10 million this quarter you're still having some issues on E-Drive and what not. is it -- should we think about that year over year Performance headwind similar in the second quarter to the first quarter and then you have like a $60 million year over year benefit in the back half?
Christopher May: Yes, I would -- couple of different perspectives Joe. This is Chris. from a second quarter, when we start to compare second quarter 2019 to the second quarter 2018, you know that gap will probably remain very similar on an absolute basis but keep in mind, second quarter of 2018 was an extremely strong quarter so the extent we're maintaining the same delta from that previous high performing quarter it means we're improving our trends. You want to think about how we're going to get in develop and deliver that second half of 2019. You know based on the midpoint of our second quarter guidance, right that'll get us just under $3.5 billion of revenue for the first half of 2019 with a little over $520 million of EBITDA. If you analyze that, it gets you about $7 billion Company. We'll bring in over $300 million on a run rate basis of additional sales. Some of this on our higher contribution margin as these full size truck plants are up and running very strong in the second half. But that will deliver sizeable contribution margin to the company. We have our synergy benefits continuing to step up through the year, our business unit consolidation benefits will continue to step up here quarter over quarter. As well as then the items that you were talking about you know in a sizeable meaningful fashion as these abnormal project expense modulated activities dissipate on a series through the second quarter, as well as the normal project expense was first half waited to get all these other launch programs up and running. and then of course you're in a more stable operation second half of the year, you're running straight, you're running strong, you're delivering normal core productivity efficiency.
Joseph Spak: I guess since you brought up synergies and the reorganization savings. If I give a look at slide 8, I know you Buck in those 2 together at $10 million. is-- can it -- can you guys a break out there and the only reason I ask is because I think you said you know the business you consolidations me like $10 million to $20 million for the year. So I was maybe you know sort of you know straight line out across the or maybe that's inaccurate. but if that's true then that means you know the MPG synergies were only 6 and I think that would sort of put the -- you know the -- below the run rate that you were sort of targeting for back by this quarter. So maybe -- I know long question here but maybe just sort of give us all the color and like if it's possible to still sort of break out the original MPG savings versus sort of the New York savings like where are you on that run rate synergy level.
Christopher May: No, good question. First to be very clear, we are absolutely on track and deliver the run rate savings for MPG acquisition. In terms of that year over year 10 number, a very small amount, I think about like $1 million or so relates to the BU consolidation. It took place in the first quarter, there was significant other element of the actions that took place very tail-end of the first quarter, early part of the second quarter and that will step up.
Operator: The next question will come from Ryan Brinkman of JP Morgan.
Ryan Brinkman: First question on just margin trajectory, it's been talked about some but you -- previously your guidance implied a strong improvement in the back half relative to the front. What -- well I think 1Q was better in your take in the VR modestly down. It does seem because of the softer 2Q guide that now this sequential ramp to achieve the full year rate is even steeper .so I -- can talk some more about the reasons that are giving you the confidence in that ramp. how much is just the glide path from the sequential improvements you've already made an execution from 1Q to 2Q and cycling path of bowling shortfall issues in 2Q? I think this would be a lot easier for investors have confidence and versus you know, how much of the ramp is due to your needing to continue to execute on further performance improvement initiative or find -- even find other sources of state and you know that haven't been entirely identified yet.
David Dauch: First and foremost, we're making mean full improvements on all the operational challenges that we incur before and we explain that to you through the, you know the bubble chart that we put together on a slide 4 here. We expected to have some of these operational challenges behind us you know by the end of the second quarter. The only issue that we're carrying and you know deep in the second quarter is this whole E-Drive capping issue and that's not a huge issue but it's an issue that we just want to be transparent with the investment community there. Clearly, yes we're very busy and very focused on the launches with over 70% of our launches being in the first half of the year. We've got to get the big programs, the big cash generators for us. That being the GM full size truck programs and the ramp programs fully launched in that rate and dialed back in the way they were running you know prior to the changeovers that were taking place. Once we get through this big heavy launch the first half year get the Major programs dial back in, put these operational improvement issues behind us. That is just a matter we should be able to perform at a very high level which is what our expectations have been all along and we continue to reinforce that here today. Chris, I don't know if you want to comment on that?
Christopher May: Yes, in terms of just run rate conversion from first half to second half Ryan, you know take 60% plus of that margin and hence it will come through the higher volume a contribution margin that drops 40% on improvement but again that improvement is in the context of our synergies, our BU consolidation, the elimination of all these performance items that we talked about as well as the stepped down for project expense. Normal project expense so that will enhance margins well.
Ryan Brinkman: And then, just maybe lastly on the 2Q revenue, you know can you talk a little bit more about like which are the programs that are generated last revenue in 2Q. could you maybe parse it out between, like how much of the lower volume is simply because of a left underlying demand for these vehicles which I'm guessing has lost the case because you're so concentrated on you know crossover step up STV's that that are verses you know how much is you know simply relating to a different cadence or pace of customer launches which would indicate more of a timing issue. We have heard that from several other suppliers this quarter, they haven't always said which programs are leading with these timing differences that explores the mention a couple of times. I don't think that's material for you but I -- maybe just a little bit more color on what's pressuring the revenue in 2Q in the transients or lack thereof of that pressure.
David Dauch: First and foremost, for being impacted bayside passenger car behinds coming down on a global basis. Second, we're being impacted by penetration races but especially in Asia coming down and some of are all drive platforms. third, we're being impacted in regards to a slower ramp of the ram heavy duty program than what was planned and expected but our customers addressing those issues and expect to happen them addressed in the very near term and then you know the last issue is that there's a couple other programs our engine and transmission related at the launch process slid out a little bit. That's really what's driving the varying that degradation in the second quarter and why we feel so strongly about the second half of the year. Chris if there's anything else you want to add.
Christopher May: First, Ryan what you're pointing out is the degradation of consensus. Our revenues quarter over quarter are increasing. You know based on a lot of programs we support as well.
Operator: And your last question come from John Murphy, Bank of America Merrill Lynch. Please go ahead.
John Murphy: I apologize for that problem earlier. I just want to add a couple of really quick follow ups here. David, you said that 70% of your launches will be done by the end of June but I think Chris you said 60% of backlog log rolls on in the second half. Is that correct is one Just an actual account of execution on programs in the in the second lead the revenue benefit coming through in the second half. Is that correct?
Christopher May: Yes, that's correct. Absolutely fair way to put it.
John Murphy: Okay, that's-- so that has a big impact on the way this year the key to this year what will run, which you kind of alluded to obviously. Second, if we look at the casting business, obviously there's some you know a little bit an issue there, but as you look at the opportunity in casting the whole industry is short of capacity still it is there a greater opportunity for you may be in the near term to win to take over business or really grow that business maybe faster?
Christopher May: We clearly have some open capacity within our operations, within our casting business units. Clearly, we'll be opportunistic based on customer opportunities, the biggest thing that we've really been focused on John is just stabilizing the business that we do have and we feel like we made some very meaningful progress here the last couple of quarters, and we expect to only get stronger as the year progresses.
John Murphy: And then lastly, like the speaker said, the ram launches kind of -- you know slipping a little bit more than any HD, a little bit more than expected. do you have a line of sight on exactly what's going on there or is this more just communication from Chris saying that they they've got a handle on this issue. I understand how confident you are that this slip we rectified in the second quarter.
Christopher May: Clearly, FCA has by their own issues that they're so plant they also have some other supplier issues but I feel very strongly that they'll get the issues resolved in the very near term.
John Murphy: Okay, great. Thank you very much guys.
Christopher May: Thank you, John. Thank you all for your interest in American Axle. That will conclude today's call.
Operator: The conference has now concluded, and we thank you for attending today's presentation. You may now disconnect.